Operator: Good morning. My name is Ruth and I will be your conference operator today. At this time, I would like to welcome everyone to the Huntington Bancshares Third Quarter Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. Thank you. Mark Muth, you may begin your conference.
Mark Muth - Huntington Bancshares, Inc.: Thank you, Ruth, and welcome, everyone. I'm Mark Muth, Director of Investor Relations for Huntington. Copies of the slides we will be reviewing can be found on our IR website at www.huntington-ir.com, or by following the Investor Relations link on www.huntington.com. This call is being recorded and will be available as a rebroadcast, starting about an hour from the close of the call. Our presenters today are Steve Steinour, Chairman, President and CEO; and Mac McCullough, Chief Financial Officer. Dan Neumeyer, our Chief Credit Officer, will also be participating in the Q&A portion of the call. As noted on slide two, today's discussion, including the Q&A period, will contain forward-looking statements. Such statements are based on information and assumptions available at this time and are subject to changes, risks and uncertainties which may cause actual results to differ materially. We assume no obligation to update such statements. For a complete discussion of risks and uncertainties, please refer to this slide and materials filed with the SEC, including our most recent forms 10-K, 10-Q and 8-K filings. Let's get started by turning to slide three and an overview of the financials. Mac?
Howell D. McCullough - Huntington Bancshares, Inc.: Thanks, Mark, and thanks to everyone for joining the call today. We appreciate your interest and support. Let me start by acknowledging that the third quarter was a bit noisy, but underneath the noise we are very pleased with the core financial performance. As you know, the FirstMerit acquisition closed on August 16. Under the terms of the acquisition agreement, shareholders of FirstMerit received 1.72 shares of Huntington common stock and $5 in cash for each share of FirstMerit common stock. The aggregate purchase price was $3.7 billion, including $0.8 billion of cash, $2.8 billion of common stock and $0.1 billion of preferred stock. Huntington issued 284 million shares of common stock that had a total fair value of $2.8 billion based on the closing market price of $9.68 per share on August 15 of 2016. We are extremely pleased with the progress we are making in bringing the two companies together as one. We believe the combination strengthens our company by improving efficiency, accelerating our long-term growth rate and driving a higher return profile. We are excited to have the opportunity to introduce our strong recognizable brand, differentiated product set, and industry-leading customer service in new geographies and to new customers. Integration is moving along as expected and our new colleagues are embracing our Fair Play philosophy and welcome culture. Turning to slide three, let's review the financial highlights of our third quarter. Huntington recorded earnings per common share of $0.11, inclusive of $0.11 per share of significant items related to the FirstMerit acquisition, which also impacted the financial metrics I will highlight on this slide. Tangible book value per share decreased 6% from the year-ago quarter to $6.48 per share. Return on tangible common equity was 7% while return on assets was 0.58%. Except where noted, all comparisons to previous quarters are inclusive of FirstMerit. But I want to emphasize that core organic performance continued to meet our expectations. Compared to the third quarter of 2015, revenue grew by 24%, with net interest income up 26% and noninterest income up 19%. Noninterest expense increased $186 million or 35% year-over-year. Noninterest expense adjusted for the year-over-year change in significant items increased $7 million or 14% year-over-year, reflecting the addition of FirstMerit, the accelerated buildout of our in-store channel last fall, and ongoing technology investments. Our reported efficiency ratio for the quarter was 75%. However, the acquisition-related expense stemming from the FirstMerit transaction added 17 percentage points to the efficiency ratio. While revenue strength in the quarter, including mortgage banking, capital markets, and a large interest recovery, combined with a $4 million expense benefit from retiring trust preferred debt, lowered the core efficiency ratio by approximately 150 basis points, we are pleased with the progress toward achieving our long-term efficiency ratio goal of 56% to 59%. Balance sheet growth in the third quarter showed continued organic strength, which was enhanced by the addition of FirstMerit's loan and deposit base. Average total loans grew 24% year-over-year, with growth excluding FirstMerit coming in at 8%. Average core deposits grew 22% year-over-year, with average core deposit growth excluding FirstMerit registering 3%. Our third quarter credit performance reflects Huntington's commitment to an aggregate moderate to low risk profile. Net charge-offs of 26 basis points remain below our long-term financial target of 35 basis points to 55 basis points. Nonperforming assets improved 21 basis points to 0.72% compared with the linked quarter. Criticized assets and delinquencies have remained at a relatively tight range for the past several quarters. Our common equity Tier 1 ratio decreased 63 basis points year-over-year and 71 basis points linked quarter to 9.09%, reflecting the impact of the FirstMerit transaction. Turning to slide four and getting more in-depth with the income statement. Net interest income was up 26% from year-ago quarter as were average earning assets, reflecting strong organic loan growth and the impact of the FirstMerit acquisition. The net interest margin for the quarter came in at 3.18%, up two basis points from the year-ago quarter and up 12 basis points on a linked quarter basis. Purchase accounting had a favorable impact of 12 basis points on the margin and we had an interest recovery in the quarter that added an additional two basis points. Noninterest income increased $49 million or 19% from the year-ago quarter, primarily driven by the addition of FirstMerit, but also driven by strong organic growth in mortgage banking, service charges on deposit accounts and capital markets. Noninterest expense increased $186 million or 35% from a year-ago, with significant items accounting for $116 million of the increase. After adjusting for significant items, noninterest expense increased 14%, primarily reflecting the impact of bringing FirstMerit on for one-and-a-half months in the current quarter. I want to reiterate our confidence in achieving the $255 million in total annual expense savings that we communicated when we announced the transaction. All the cost savings are identified, being executed against, and will be implemented within one year of the deal closing, with the vast majority implemented prior to or coincident with the branch and systems conversion over President's Day weekend in the first quarter of 2017. In total, we plan to consolidate 103 branches or roughly 9% of the combined post divestiture branch network. In addition, in connection with our normal periodic review of our distribution network, we will be consolidating nine legacy Huntington branches unrelated to the FirstMerit acquisition during the first quarter of 2017. Turning to slide five, let's review operating leverage. As you would expect, the combined entity has significant positive operating leverage through nine months. Positive operating leverage remains an important annual financial goal which we delivered on in 2013, 2014 and 2015 and, of course, we expect to deliver, again, in 2016. Turning to slide six, let's look at balance sheet trends. Average total loans grew 24% year-over-year, with growth excluding FirstMerit coming in at 8%. As you can see from the chart on the left side of the page, the addition of FirstMerit has not had a material impact on our earning asset mix. The chart on the right side of the page illustrates how the addition of FirstMerit has increased the proportion of low cost DDA in our funding mix. Average securities increased 32% year-over-year, primarily reflecting the addition of $7.4 billion from FirstMerit, additional investment in LCR Level 1 qualifying securities, and growth in direct purchase municipal securities in our Commercial Banking segment. Our liquidity coverage ratio was approximately 110% at quarter end. Average total debt increased $2.9 billion or 42% as a result of the issuance of $3.3 billion in senior debt over the past five quarters. Turning to slide seven, as previously discussed, we have continued to evaluate opportunities to optimize the balance sheet. And while not affecting quarterly average balances, approximately $2.6 billion of total loans and leases comprised of $1.5 billion of auto loans, $1 billion of predominantly non-relationship C&I loans and leases and $1 billion of predominantly non-relationship CRE loans were moved to loans held-for-sale at the end of the third quarter. We are taking these actions to improve risk-weighted asset efficiency and specific to the C&I and CRE assets to free up capital that was not generating acceptable returns. Regarding the $1.5 billion of auto loans moved to held-for-sale, our intention is to securitize these assets in the fourth quarter of 2016. Let me emphasize that we remain steadfast to our commitment to our auto finance business, including our well-established strategy which is built upon deep, long-term relationships with our core dealer customers and our focus on prime and super-prime indirect lending. However, we are reducing our indirect auto concentration limit back down to 150% of capital, and we are adopting an operating guideline of 125% of capital. You might remember that in mid-2015, before we had an agreement in place with FirstMerit, we increased our indirect auto concentration limit to 175% of capital. Given the larger capital base of the new combined organization, we cannot foresee any circumstance in which we would grow our indirect auto portfolio anywhere close to the 175% of capital. In addition, with the new 125% operating guideline in line, we expect to return to the securitization markets on an annual basis going forward. Moving to slide eight. Our net interest margin was 3.18% for the third quarter, up two basis points from the year-ago quarter. This increase reflected a 10 basis point increase in earning asset yields, a two basis point increase in the benefit from noninterest bearing deposits and a 10 basis point increase in funding cost. Loan yields improved 16 basis points year-over-year while securities yields declined to 12 basis points. The increase in funding cost was almost entirely driven by the impact of the debt issuances over the past five quarters as the cost of deposits was unchanged year-over-year. On a linked quarter basis, the net interest margin increased by 12 basis points driven by an 11 basis point improvement in earning asset yields and a one basis point decrease in the cost of interest-bearing liabilities. Purchase accounting contributed 12 basis points to the margin in the third quarter. Adjusting for the impact of purchase accounting, the core net interest margins was 3.06% or unchanged from the prior quarter. In addition, similar to what we have seen in recent quarters, one large interest recovery added two basis points to the margin during the third quarter. Finally, as we communicated previously, core NIM will stay above 3% in every quarter of 2016. Slide nine illustrates the impact of our capital ratios of effectively deploying capital through the acquisition of FirstMerit. Tangible common equity ended the quarter at 7.14%, down 75 basis points year-over-year and 82 basis points linked quarter. Common equity Tier 1 ended the quarter at 9.09%, down 63 basis points year-over-year and down 71 basis points sequentially. Referring to slide 10, we booked provision expense of $64 million compared to net charge-offs of $40 million. The higher provision expense compared to the prior quarter was the result of a higher level of net charge-offs, organic loan growth and incremental reserves on the legacy FirstMerit portfolio and excess of the credit mark due to the rate mark partially offsetting the credit mark on certain portfolios. In addition, there was approximately $10 million of incremental loan loss provision expense in the third quarter associated with the previously discussed movement of loans held-for-sale. Net charge-offs, while higher, represented an annualized 26 basis points of average loans and leases, which remains below our long-term target of 35 basis points to 55 basis points. The allowance for credit losses as a percentage of loans decreased to 1.06%, reflecting the addition of the FirstMerit loan portfolio to the denominator, without additional reserves being added to the numerator due to the credit mark applied through the purchase accounting process. The nonaccrual loan coverage ratio increased to 174% as a result of the continued decline in nonaccrual loans. On slide 11, the asset quality metrics remain favorable in the quarter as indicated. The nonperforming asset ratio increased further, reaching its lowest level in two years at 0.72%. The criticized asset ratio increased modestly to 3.54% but has remained in the 3.5% range for the past several quarters. Delinquencies were also well controlled, having remained relatively flat for the past six quarters. Let me now turn the presentation over to Steve.
Stephen D. Steinour - Huntington Bancshares, Inc.: Thanks, Mac. Normally, at this point in our quarterly discussion, I would provide you with an update on our Optimal Customer Relationship or OCR strategy. However, we've removed those slides from the presentation this quarter, given the recent addition of FirstMerit and our inability to produce similar data for legacy FirstMerit customers. We believe providing OCR data for just legacy Huntington customers will not provide you with the complete picture. Let me assure you, though, that we remain fully committed to our Fair Play philosophy and OCR strategy, which is built upon the simple thesis of putting customers first, looking after their needs, and doing the right thing will result in more substantial, long-term customer relationships. Now, for years, we've focused on customer acquisition and relationship deepening with our Fair Play banking philosophy and our OCR strategy. While this was considered a contrarian approach when we started these actions back in 2009 and 2010, the results paint a picture of resounding success. And I want to stress that we are not just seeking relationship growth but, indeed, are looking to deepen existing relationships. Our OCR strategy is also built upon the fundamental belief that we are here to understand and serve our customers' needs. The Fair Play banking philosophy starts with doing the right thing for our customers with products and services that are simple, clear and fair. We couple that with a customer experience designed to fit their needs, not ours. For us, the strategy has remained consistent since it was put in place in 2010 and it continues to bear fruit. In light of the recent headlines, some of you have asked about our sales and incentive compensation practices and complaint management, particularly with respect to our OCR strategy. The focus of our OCR model is on building, deep, trusted and lasting relationships. And this is achieved by getting to know our customers, understanding their needs and helping them meet their financial needs with the appropriate products and services. Further, Huntington is a company built upon a distinguished legacy of superior customer service. Our Fair Play philosophy and welcome culture are built upon the premise and promise of doing the right thing for our customers. As you'd expect, given the investor, media and regulatory interest in this matter, we've undertaken a detailed review of our practices, policies and procedures for any signs of misalignment of incentives or other areas of risk or concern. While the review is ongoing, to-date, we've not uncovered any systemic, cultural or operational areas of concern. We will likely refine some of our monitoring, but we do not anticipate any material changes to our practices or procedures and certainly not to our overall OCR strategy. Moving to the economy, slide 12 contains what we feel to be some of the more meaningful economic indicators for our footprint. The bottom left chart illustrates trends in the unemployment rates across our now eight core Midwestern states. As you can see, the majority of our footprint remains at or below the national unemployment rates relative to the national average with Ohio, Michigan, Indiana and Wisconsin particularly showing resilience this past quarter. Charts on the top and bottom right show coincident and leading economic indicators for the region. The bottom chart, which shows leading indexes for our footprint as of August, show that all eight states in our footprint expect positive economic growth over the next six months. Slide 13 focuses on trends and unemployment rates in our largest metropolitan areas, and many of the large MSAs in the footprint remain at or near 15-year lows for unemployment, at the end of August. Also notable, 11 of the top 15 MSAs experienced declining unemployment rates in the last three months. The auto industry is still strong and is a major economic contributor within our footprint, but the housing markets are also strong. Labor market in our footprint has proven to be strong in 2016 with several markets such as here in Columbus, where we are at structural full employment. We are seeing wage inflation in our expense base and our customers are too. State and local governments continue to operate with surpluses. Ohio, Indiana and Michigan continue to outpace overall U.S. growth, since the recovery. We remain confident in our footprint Midwest economies, based on the sustained job growth and economic production since the recovery that began after The Great Recession. Turning to slide 14, I'd like to give you some closing remarks and important messages. We remain focused on delivering consistent, through the cycle, shareholder returns. The strategy entails reducing short-term volatility, achieving top tier performance over the long-term, and maintaining our aggregate moderate to low risk profile throughout. As you heard Mac mention earlier, the acquisition and integration of FirstMerit provides what we believe is an opportunity to achieve significant cost savings and improve our overall efficiency. We're committed to and progressing as planned toward realizing our targeted $255 million of annual cost savings from the acquisition. We continue to win new customers through a strong and recognizable consumer brand with differentiated products and superior customer service. The new customers and dynamic markets offers, from the FirstMerit acquisition, provide a deeper and more vibrant pool to deliver our value proposition and add customers and deepen relationships. We have invested and will continue to invest in our businesses, particularly around enhanced sales management, mobile and digital technologies, data analytics and optimizing our retail distribution network. Importantly, we plan to continue to manage our expenses appropriately within our revenue outlook. We always like to include a reminder that there is a high level of alignment between the board, management, our employees and our shareholders. The board and our colleagues are collectively among the largest shareholders of Huntington. We uphold the retirement requirements on certain shares and are appropriately focused on driving sustained long-term performance. We're highly focused on our commitment to being good stewards of shareholder capital. Looking forward to full year 2016 results, excluding the impact of significant items, we expect total revenues to increase 16% to 18% and noninterest expenses to increase 13% to 15%. We expect to deliver positive operating leverage for the fourth consecutive year. We expect the asset quality metrics to remain near current levels, including net charge-offs remaining below our long-term target of 35 basis points to 55 basis points. And consistent with our historical practice, we anticipate we'll provide initial expectations for 2017 at an investor conference later this quarter. Finally, we are very pleased with the smooth integration process with FirstMerit, which we acquired on August 16. The divestiture of 13 branches, primarily in the Canton, Ohio market will occur this quarter. We've completed the onboarding and initial training of our new colleagues and fully implemented the organizational changes for the combined entity that we announced last summer. 103 branch consolidations will occur coincident with the branch conversion in February of 2017. Our systems conversion planning efforts continue to progress, as our IT teams have completed all product and data mapping and are now managing system testing and preparing for mock conversions. So now, I'll turn it back over to Mark, so we can get to your questions. Thank you.
Mark Muth - Huntington Bancshares, Inc.: Operator, we will now take questions. We ask that as a courtesy to your peers, each person ask only one question and one related follow-up. And then, if that person has additional questions, he or she can add themselves back into the queue. Thank you.
Operator: Your first question comes from the line of Scott Siefers. Please state your firm. Your line is open.
R. Scott Siefers - Sandler O'Neill & Partners LP: Good morning, guys.
Stephen D. Steinour - Huntington Bancshares, Inc.: Good morning, Scott.
Howell D. McCullough - Huntington Bancshares, Inc.: Hi, Scott.
R. Scott Siefers - Sandler O'Neill & Partners LP: Hey. A quick question on the provision. Mac, I appreciate the color on the roughly $10 million or so of provision that might have been kind of unusual related to the move of loans for held-for-sale. But, I was hoping you might be able to give just a little more color on rationale behind such an elevated provision. And kind of whether or not, I guess, (24:13) to exclude the $10 million going forward if something in the $55 million range represents kind of a new customer elevated run rate, that has been the case more recently. So just, I guess, really any color that you can provide, please.
Daniel J. Neumeyer - Huntington Bancshares, Inc.: Sure. Scott, this is Dan. So, there's a couple of things going on in the quarter. First, we did have higher charge-offs than what we have been experiencing although still below our long-term expectations. So, replenishing the $40 million of charge-offs was one piece of that. Second, as you've already noted, we had the movement of loans to held-for-sale. We also had the organic originations from FirstMerit post-closing. So, the new loans that are generated have allowance associated with them. And then, we did have a portfolio where we had a positive rate mark that offset the credit mark. So, it's recorded at a premium. So, we have allowance build there. So, I wouldn't say that this is a situation where this is the new normal. I think, this was a bit of an outlier and I think on a go-forward basis, we will have provision expense that is more in line with charge-offs and with an allowance for some growth. I also would note that, in the quarter, charge-offs were up partially due to the fact that we had lower recoveries in the C&I portfolio. That added about $5 million of additional charge-off over what we have been experiencing. So, we had quite a number of factors that would have resulted in the higher provision this quarter.
Howell D. McCullough - Huntington Bancshares, Inc.: And, Scott, I think this is where we see the volatility that we've been talking about in terms of charge-offs because of the low levels that we're running at. As Dan mentioned, it's a credit or two on the commercial side without the recoveries to offset that. So, clearly, the volatility is as we expected. And I would say that there's probably about $12 million that Dan mentioned associated with the loans held-for-sale and kind of the date to FirstMerit provision for the portfolios that he mentioned that had higher interest marks.
Stephen D. Steinour - Huntington Bancshares, Inc.: And, Scott, just one other comment. I think just as you're looking at it go-forward, the asset quality metrics in terms of the criticized, we had a reduction in nonaccruals, et cetera. So, very steady delinquencies. So there's nothing out there that would indicate that we expect a turn here, so, just in terms of you thinking about provisioning going forward.
R. Scott Siefers - Sandler O'Neill & Partners LP: Yeah. Okay. That's good color. Thank you guys very much.
Howell D. McCullough - Huntington Bancshares, Inc.: Thanks, Scott.
Operator: Your next question comes from the line of Bob Ramsey. Please state your firm. Your line is open.
Bob H. Ramsey - FBR Capital Markets & Co.: Hey. Good morning, guys. With FBR. I wanted to touch base on net interest margin. Is the 11 basis points some sort of one-time thing from accelerated pay-offs on acquired loans or is this more the level that we'll just gradually amortize lower over time? And then maybe could you sort of tell us what the margin was in the month of September, so we can think about a starting point headed into the fourth quarter?
Howell D. McCullough - Huntington Bancshares, Inc.: So, Bob, I would think about that core margin as being 3.04% – 3.06% absent of purchase accounting impact and it's two basis points for the interest recovery that we had in the quarter that added two basis points to it. There probably was about $4 million or $5 million in the quarter related to accelerated accretion for early pay-offs and those types of things. But, I think, thinking about the rest of it from a purchase accounting perspective and thinking about projecting that forward would be the right way to think about it. We are comfortable with the core margin staying above 3% for the remainder of the year. And I think it's also important to note that, on a core basis, FirstMerit was accretive to the core margin simply because of asset mix and the fact that they brought more DDA to the funding mix as well.
Bob H. Ramsey - FBR Capital Markets & Co.: Okay. And I guess, given the full quarter impact next quarter, so should we really be thinking about something above the 3.04% on a core basis? And do you know sort of what the core was, I guess, at the end of the quarter as we head into the fourth?
Howell D. McCullough - Huntington Bancshares, Inc.: Yeah. I think 3.04% is the right way to think about the core. The purchase accounting piece is a bit difficult because of what could happen from an accelerated accretion perspective, but I think you're pretty safe thinking about that core of 3.04%.
Bob H. Ramsey - FBR Capital Markets & Co.: Okay. Great. Thank you.
Howell D. McCullough - Huntington Bancshares, Inc.: Thanks, Bob.
Operator: Your next question comes from the line of Steven Alexopoulos. Your line is open. Please state your firm.
Steven Alexopoulos - JPMorgan Securities LLC: JPMorgan. Hey. Good morning, everybody.
Howell D. McCullough - Huntington Bancshares, Inc.: Hey, Steven.
Steven Alexopoulos - JPMorgan Securities LLC: I wanted to first follow-up on Steve's comments regarding the customer acquisition and cross-sell strategies being under review. Do you guys currently use sales orders in the incentive comp calculation for branches, frontline folks? And do you think you'll need to more broadly change the incentive systems?
Stephen D. Steinour - Huntington Bancshares, Inc.: We don't anticipate any meaningful change in incentive systems. There are certain things that we measure top of the house that are not pushed down at the account level, so – or at the officer level. So, that would include – we focus our branches and officers on revenue, not product-specific or product required sales, Steven. So, we don't anticipate any meaningful change on the incentive plans from where we are now. And I do think we'll put more sort of oversight and analysis in, but we've already been doing a fair amount of that.
Steven Alexopoulos - JPMorgan Securities LLC: Okay. That's helpful. And then, maybe a follow-up. A lot of moving pieces to the loan balances in the quarter. Can you give us a sense of what organic loan growth looked like in the quarter if we just think about Huntington on its own, maybe adjusting out some of the movements in the held-for-sale?
Howell D. McCullough - Huntington Bancshares, Inc.: Yes. So, Steven, it'd be about 8% year-over-year, and it would be the categories that we've talked about previously that were driving the growth. It's indirect auto, its equipment financing, at least, on the Huntington side. I think we continue to see good pipelines on the commercial side of the business. And, I think, resi probably had some growth in the quarter as well. So, those were the categories that have been good for us this year. And the 8% is not out of balance, maybe a little bit higher than where we've been so far quarter-by-quarter this year.
Stephen D. Steinour - Huntington Bancshares, Inc.: Pipelines look strong at this point as we go into the fourth quarter in those categories, Steven, as well.
Steven Alexopoulos - JPMorgan Securities LLC: Okay. Perfect. Thanks for the color.
Howell D. McCullough - Huntington Bancshares, Inc.: Thank you.
Operator: Your next question comes from the line of Ken Usdin. Please state your firm. Your line is open.
Ken Usdin - Jefferies LLC: Thanks. Good morning. Ken from Jefferies.
Howell D. McCullough - Huntington Bancshares, Inc.: Hi, Ken.
Ken Usdin - Jefferies LLC: Mac, I was wondering if you could walk us a little bit through the landing point for the balance sheet, meaning that it looks like you've got a whole bunch of pending and future loan sales. You got the divestitures. You've got core growth going on. And so, where do you see kind of pro forma ending up maybe as a fourth quarter start point, just so we can understand once you've moved through some of this additional clean-up underneath as a base.
Howell D. McCullough - Huntington Bancshares, Inc.: Yeah. Let's see if there might be a page we can direct you to in the deck. I mean, if you take a look at page 30 of the slide deck, might be the best place to look. It's September 30 balance sheet. It's on the asset side. And you can see that total commercial loans sort of about $35 billion at a spot basis, consumer about $31.4 billion and total loans and leases are about $66 billion.
Ken Usdin - Jefferies LLC: Right. So, with the pending sales, though, does that – that's in the loans or in – already moved to the held-for-sale, right? So, period-end, we should think about that whole loans for-sale bucket going away and then you use the what's left kind of as the new base for loans?
Howell D. McCullough - Huntington Bancshares, Inc.: Exactly. So, you can see loans held-for-sale about four or five lines down there at $3.4 billion.
Ken Usdin - Jefferies LLC: Yes.
Howell D. McCullough - Huntington Bancshares, Inc.: So, those were already taken out.
Ken Usdin - Jefferies LLC: Yes. Okay.
Howell D. McCullough - Huntington Bancshares, Inc.: So, those are actually – yes. Go ahead.
Ken Usdin - Jefferies LLC: No. That's fine. Then, just in terms of just your – the rest of liquidity and any changes to your funding mix going forward? What do you – do you anticipate continuing to build the securities book or is that now on a pro forma basis also in the right zone?
Howell D. McCullough - Huntington Bancshares, Inc.: The securities book will go up a bit from here, because we are going to replace the auto loans with zero weighted risk-weighted assets. So, think about maybe another $2 billion or so in securities. So, that will come on, some others have already come on, some will come on in the fourth quarter as well.
Ken Usdin - Jefferies LLC: Okay.
Howell D. McCullough - Huntington Bancshares, Inc.: From a funding perspective, for the other loans that we're going to sell, we're going to pay down funding sources.
Howell D. McCullough - Huntington Bancshares, Inc.: Well, I wouldn't see any material change in the way we're going to fund the balance sheet.
Ken Usdin - Jefferies LLC: Okay. Thank you guys.
Stephen D. Steinour - Huntington Bancshares, Inc.: Ken, some of the puts and takes on the restructuring are on slide seven, the optimization.
Howell D. McCullough - Huntington Bancshares, Inc.: Is that good, Ken? Did we gave you what you need?
Ken Usdin - Jefferies LLC: Yeah. I think so. Yeah. Thank you.
Operator: Your next question comes from the line of Ken Zerbe. Your line is open.
Ken Zerbe - Morgan Stanley & Co. LLC: Great. Thanks. Morning.
Howell D. McCullough - Huntington Bancshares, Inc.: Hi, Ken.
Ken Zerbe - Morgan Stanley & Co. LLC: Just have a question on the auto side. Obviously, you reduced the concentration limits. You guys want to hold. You want to do more securitizations. How much of that relates to the environment that we're in for auto? Like are you seeing any deterioration in the broader industry auto credit that's leaving you to get more conservative? Thanks.
Daniel J. Neumeyer - Huntington Bancshares, Inc.: Hey, Ken, this is Dan. We've commented on the past that we observe what's going on in the marketplace, but it really doesn't impact our business model or our performance. So we have not changed our view on the auto portfolio at all. And as we referenced in the slides, we continue to show our history of performance in originations. Haven't moved off that. We don't have a change in our go-forward view of what we believe we're going to experience. So, while there may be activities going out in the market that are of concern, because of our prime, super-prime focus, because of our strong origination scores, absence of risk layering, we have not changed our view at all with regard to the quality of the portfolio.
Ken Zerbe - Morgan Stanley & Co. LLC: Got it. Okay. No, that helps. And then, just to be clear on the comment you guys made, if I understood the prepared remarks correctly, I thought I heard you said that you're reducing the limit to the $150 million because sort of "you can't originate enough to get you up to $175 million." Did I – I just want to make sure I fully understand the rationale of why your limits are going down. Thanks.
Howell D. McCullough - Huntington Bancshares, Inc.: So, yes. So, the $175 million was put in place before we had an agreement with FirstMerit. So, it was put in place on a smaller capital base and we define capital as Tier 1 capital plus the allowance. So, there really wasn't an ability for us to get to the $175 million. We're not going to be a national player in auto. We like the geography that we're in. We like the business model that we have in place. We're not going to change the underwriting or the risk profile. And, quite frankly, as we bring on FirstMerit, we have other opportunities to invest capital at higher returns. So that's primarily why we did it. We've always been at $150 million historically, and we just feel that operating at $125 million gives us flexibility to perhaps go over $125 million from a timing perspective, if we're getting the securitization done. And if we don't like the market conditions, we can hold this above $125 million until we like the market conditions. So, that's the way we're thinking about it.
Ken Zerbe - Morgan Stanley & Co. LLC: All right. Great. Thank you.
Operator: There are no further questions at this time.
Stephen D. Steinour - Huntington Bancshares, Inc.: Okay. The third quarter was highlighted by the closing of FirstMerit acquisition and our continued strong financial performance. With sound fundamentals in place, we're well-positioned for solid performance in the coming quarters. And our strategies are working. Our execution remains focused and strong. We expect to continue to gain market share and improve share of wallet. The addition of FirstMerit's solid balance sheet, strong credit performance, valuable customer base and dynamic new markets provide opportunity to further augment or accelerate the achievement of our long-term financial goals. Finally, I want to close by reiterating that our board and this management team are all long-term shareholders. Our top priority is integrating FirstMerit and growing our core business while managing risks, reducing volatility and driving solid, consistent long-term performance. So, thank you for your interest in Huntington. We appreciate you joining us today and have a great day.
Operator: This concludes today's conference call. You may now disconnect.